Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Niu Technologies Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now I'll turn the call over to Ms. Kristal Li, Investor Relations Manager of Niu Technologies. Ms. Li, please go ahead.
Kristal Li: Thank you, operator. Hello, everyone. Welcome to today's conference call to discuss Niu Technologies' results for the second quarter 2025. The earnings press release, corporate presentation and financial spreadsheets have been posted on our Investor Relations website. This call is being webcast from company's IR site as well, and a replay of the call will be available soon. Please note today's discussion will contain forward-looking statements made under the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks, uncertainties, assumptions and other factors. The company's actual results may be materially different from those expressed today. Further information regarding the risk factors is included in company's public filings with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required by law. Our earnings press release and this call include discussion of certain non-GAAP financial measures. The press release contains a definition of non-GAAP financial measures and the reconciliation of GAAP to non-GAAP financial results. On the call with me today are our CEO, Dr. Yan Li; and CFO, Ms. Fion Zhou. Now let me turn the call over to CEO, Yan.
Yan Li: Thank you, Kristal. Hello, everyone. Thank you for joining us today. So second quarter of 2025 marked another strong performance for us, building on solid momentum from Q1. So this quarter, our total sales volume reached 350,000 units, representing a 37% year- over-year increase. In the China market, the sales volume surged by 54% to 318,000 units, continuing the growth trend in Q1. The overseas market recorded a 31,000 units, a 35% year-over-year decline, mainly due to the impact of the U.S. tariff, coupled with intensifying competition in the European market for the micromobility segments, while in overseas market, our electric 2-wheelers continue to grow at 4x. However, we have seen positive signs on the structural improvements in our overseas operations, which I will elaborate on in the subsequent sections. Our revenue and gross margin also demonstrated a strong improvement this quarter. Revenue reached RMB 1.26 billion, a year-over- year growth of 35% -- 34%, while the gross margin stood at 20.1 percentage, up 3.1% year-over-year or 2.8 percentage quarter-over- quarter compared to Q1. As previously mentioned, this positive outcome is primarily driven by the product portfolio optimization and cost reduction achieved through product -- platformization of our products and components. We also achieved net profit of RMB 5.9 million, where we are still navigating the challenges on the profitability front, our disciplined execution and the focused strategy continue to position us well for both the revenue and profit growth. The performance of this quarter reaffirm our growth strategy from product development, technology innovation, expanded sales channels to brand management. Our teams have delivered strong results across all those fronts. I will now provide more details, starting with our progress in the China market. In China market, Q2 sales, as I mentioned, reached about 318,000 units, representing 54% year-over-year growth. Although this volume growth rate is 12% lower compared with the Q1 results of year-over-year growth rate of 66%. The actual revenue growth from scooters year-over-year for China is 45%, 6 percentage higher than the Q1 results. As mentioned in the last call, we observed the ASP decline in Q1 as we introduced 2 entry-level models of MT and MMT in the market responsible for the ASP drop and partially responsible for the high volume growth in Q1. In Q2, as we continue to optimize our product portfolio, the ASP increased by 11% compared with Q1 and the Q2 ASP is back close to the 2024 annual level. Now in 2024 last year, our development effort in product was centered around the electric bicycle product with lot of NXT, NT, MT and has driven a strong growth since then. In the first half of this year, we really focused on electric motorcycle product development to really strengthen our position in this sector. As we mentioned in the previous quarter, we launched NX Pro Electric Motorcycle priced at RMB 9,999 positioned as a speed champion among the sub RMB 10,000 electric motorcycles. In Q2, we may expand our high-end electric motorcycle lineup by introducing 3 core models, NXL, NL and FX Pro covering a price range from RMB 4,000 to over RMB 10,000. All those models are equipped with advanced intelligent features aligning with our new performance and safety standard, such as a full color TFT display with screen mirror navigation, the OkGo technology, boosting a top speed between 55 to 80 kilometer per hour, undergoing comprehensive upgrade in handling and performance and delivering a premium intelligent experience. Those models account for 12% of our total sales volume in Q2. Now building on that momentum, we introduced NX in July, an entry-level smart e-motorcycle price between RMB 3,599 to RMB 4,499. The NX is built for young urban riders, featuring a compact nimble body, 100-kilometer extended range and intelligent features such as a dual-way throttle and downhill assist. Those functionality typically reserved for premium model are now accessible in the sub RMB 4,000 e-motorcycle segment, giving NX a strong potential to capture this rapid market share. Now with those add-ons, we have a complete lineup of motorcycle product in the N-Series ranging from RMB 3,599 entry-level product to a sub RMB 10,000 high-speed motorcycle product. We also launched -- with the launch of FX Pro, we also have a good lineup of F-Series product with more to come in the second half of this year. The current electric motorcycle sales only represent less than 20% of our total volume with much more growth potential. Now talking about the new national standard for the electric bicycle product, which will take effect in September 1. This new regulation will have set a new requirement for electrical bicycle product, such as a percentage of plastic being used, the total weight and the form factors. We are developing new product lines and modifying the existing product lines to comply with the new requirements. Those products that fit with the new requirements will be rolled out in September and Q4 this year. The new requirement required the manufacturer to stop shipping old standard product by August 31. However, it allows distributors and retailers to continue to sell old standard product until November 30. Hence, with the prepared new product as well as extra buffer time for the retailer to sell the old standard product, we expect a rather smooth transition from old standard to the new standard in Q4. Now we continue to invest in technology innovation, mainly focusing on smart technology and powertrain systems. On the smart technology side, we continue to focus on the seamless driving experience via Smart Control Assistance and AI Smart Ecosystem features. As safety continues to be an important topic for 2-wheeler mobility in Q1, primarily focused on enhancing driving safety, gradually rolling out features such as a driver dynamic safety warning system developed in collaboration with [ Galileo Maps ]. Additionally, more products are standardized to meet our new safety standards, equipped with screen mirror navigations, millimeter- wave radar and dual-channel ABS. We're the industry first introduced the dual-channel ABS adoption in electric bicycles in 2024 under our NXT model in Q2 last year. After 1 year of continuous development integration, we have incorporated dual-channel ABS in many of our electric bicycle models. As of now about 1/3 of electric bicycle models sold are equipped with ABS covering from old to mid- to high-end electric bicycle series. Now in Q2, we focused ship to the implementation of AI Smart Control Assistance with launch of features such as the dual-way throttle and downhill assist. Leveraging the sensors and gyroscope installed across the scooter, we monitor its real-time status such as the low-speed driving mode as well as the steering direction and angle data. With our proprietary algorithms, we use those data to develop smart control system to provide a driver assistant functionalities such as assisted pushing or reverse backing and parking functions, making the consumers' control experience more effortless and convenient. In the powertrain system, we continue to collaborate with industry-leading battery -- battery suppliers to really develop a forward- looking R&D initiatives and technology adaptations on new battery technologies. Those innovations will be released in subsequent quarters. In Q2, our brand strategy is centered along, align the product launch with high-impact marketing milestones events to demonstrate our technology innovation. We showcased our technology powers on the tracks. On May 23, we have professional research setting a China record of lap time of 2 minutes 58 seconds with our NX model on the Shanghai F1 Circuit. In the product launch dynamics, our May 13 [ O-Star ] e-motorcycle launching with NXL, NL and FX that will emerge as a sales sensation, taking RMB 100 million GMV within just 5 hours and moving over 10,000 units across all online platforms. This momentum continued into the 618 shopping campaign, where we surpassed our previous record with RMB 1.06 billion in GMV, 128% year-over-year surge, fueled by a massive live streaming session. The campaign generated about 1.56 billion impressions, further solidifying our premium brand positioning in 37 key urban markets. And in July 17, we saw another successful launch with our NXT Ultra and FXT Ultra models, joining about 49 million views and 3.6 million live streaming viewers. Within 5 hours, those models achieved a staggering 20,000 units sold and RMB 220 million in GMV, securing top rankings across all major e-commerce platforms. To celebrate our remarkable 10th anniversary, we also sponsored a play festival on June 1 with 30,000 participants, among which many are [ NIU ] users. The total view of such an event reached 220 million. Now in terms of content placement, our Q2 media campaign capped a wide, yet a targeted campaign spanning 41 cities and included over 500,000 outdoor placements across 6 major urban series. Online engagement on platforms like Douyin, Weibo, Xiaohongshu and Bilibili, partnering with over -- with 1,000 creators across 12 verticals and generated 4 billion exposures. By the quarter end, the total campaign expression exceeded 4.5 billion, underscoring the effectiveness of our integrated brand approach. Now speaking of channel expansion, we have continued our previous strategy with strong focus on penetrating the previous underrepresented market in China. We're strategically expanding our retail footprint to ensure that product reach a broader consumer base. In Q2, we expanded our retail footprint by a net add 185 new stores with significant focus on Tier 3 and Tier 4 cities, which accounts for 50% of net adds. Year-to-date, we have net adds totaled 569 stores. This strategic expansion not only refined our distribution network, but also laid a solid foundation for the upcoming product launch in the second half of the year. Now with those efforts in the first half, the percentage of sales from Tier 3 plus cities grew by 4 percentage points in terms of contributions, demonstrating our successful effort in penetrating the lower-tier cities. Additionally, our online presence has been significantly strengthened with sales performance improving across multiple online channels, our currently managed 11 official branded accounts, a 48 localized account and close to 800 store accounts. Those multi-tier strategy have hosted about 20,000 live broadcasts, generated about 620 million views, an 8x increase compared with last year. This robust [ news ] online visibility and customer interactions contributing about 250,000 units in sales, representing 77% of total sales volume. Now turning into our overseas business. We recorded a total sales volume of 30,000 units -- 31,000 units in Q2, representing a 35% year-over-year decline. However, the scooter revenues declined by only 20% as electric 2-wheeler products started to contribute more in the sales with higher ASP. The sales at the micromobility declined by 41% due to the impact, as mentioned, traffic -- tariff-driven adjustment in the U.S. market and the pressure from intensive price competition in the key European market. Now let's first talk about electric moped segments. Our strategic transition to a direct distribution model in key markets begin to yield tangible results. In Q2, we delivered over 3,200 electric 2-wheeler units in overseas market, marking a more than 4x increase compared with the same period last time. And close to 45% of those sales are engineered from our direct distributor channels, making a significant shift from last year and confirming the growth traction of our direct sales approach. Our core market, including Germany and Italy, have now secured a top position in market share, a direct outcome of this robust and efficient direct distribution system we have built in the past years. Our retail network for the direct distributor regions have also expanded. In Q2, we increased the number of direct distributed stores from 181 to 244, adding 63 locations. This figure is 3x the number of stores we had during the same period last year and aligns closely with our target of building a 250 stores network. On the micromobility segment, it declined by 41% year-over-year, although we saw a 50% quarter-over-quarter increase. The year-over-year downturn is primarily attributed to challenging market conditions in Europe and United States market where the emerging bright spot emerged in the Asian market. Our U.S. sales declined by 17% in Q2, particularly due to strategic channel management and market trend shift. In Q2, the retail and sell-through prices were not adjusted to reflect the recent tariff changes. To avoid channel staffing, we proactively reduced the selling volume. Notably, the activation number, basically the sell number to the consumers still grew by 10% year-on-year, indicate a healthy end user demand. We also observed the customer preference in the U.S. are trending towards the low to mid-pricing scooters, leading to a decline in sales of our premium scooter models. To address this, we have provided our entry-level K90 model, which is scheduled to be launched in Q4. Now the European market faced a significant headwind due to intensified price competition across key markets, including Germany, France, Italy and Spain. This aggressive pricing environment pressured our sales performance in the region, contributing substantial overall segment decline. Now in contrast to the Europe and the United States market, the Asian market delivered healthy growth with 21% year-over-year increase. This positive performance reflected strong market demand and effective execution of our regional strategy. On the retail coverage side, our channel expansion reached maturity with over 2,100 retail locations now carrying new mobility product globally. A key highlight in Q2 is our participation in the Best Buy Achievers event in the U.S., where we connected with top-performing sales associates, conducted 68 test rides and explored new service partnerships such as in-store repair solutions with Best Buy's Geek Squad. Those interactions paved the way for a deeper retail integration and long-term growth in the United States market. Now looking ahead, we remain optimistic about the performance both of China and overseas market in the second half of the year. In China, we believe in Q3 we benefit from the both seasonal trends, the strong product momentum and the potential temporary demand surge due to the new regulations. The launch of highly competitive NX electric motorcycle and upgrade the -- also upgraded smart electric bicycle product in Q2 has positioned us effectively to meet evolving consumer preferences. Our channel expansion efforts throughout 2024 and the first half 2025 are the second driver to the sales growth as we target to add about 1,000-plus stores for entire 2025. We have net, added about 589 stores in the first half with more to come in Q4 and -- in Q3 and Q4. Furthermore, the upcoming implementation of new national regulation for electric bicycles indicate that the manufacturers cannot manufacture old standard bicycles after August 31 and retailers cannot sell old standard bicycles after November 30. This will in turn drive distributors to build up inventories in Q3 and also drive a bit demand surge in Q4 as consumers won't be able to buy the old standard product after November 30. And also our effort in the product portfolio optimization and platformization has also demonstrated positive results in gross margin improvement and ASP improvement. Looking forward, we are confident that we can maintain a healthy gross margin and stable ASP throughout the second half of the year. Now looking forward for the overseas market, we're on a path towards recovery and profitability. The significant growth in the electric 2-wheeler i.e. electric motorcycle and moped sales and the strong performance of our direct distributor regions this year validated both the market competitiveness of our products and the retail capability of our channels. Our direct distributed electric moped business has demonstrated a distinct local advantage by adhering the strategy of continue to expand store in this direct distributed regions, we expect to continue the growth trend as we observed in Q2. In the micromobility segment, we're closing the gap between the losses and breakeven. In the U.S. market, as tariffs are finalized clear for the Southeast Asia and China, we continue to negotiate a price increase for existing product with retailers and roll out a low- cost version for better -- to better address market. This will help the U.S. market to turn profitability. In the European market, we're planning to recover from a decline in first half and focus more on the profitability in the selected market. Now with that, let me turn the call to Fion.
Wenjuan Zhou: Hi, everyone. Please note that our press release contains all the figures and comparisons you need, and we have also uploaded excel format figures to our IR website for your easy reference. As I review our financial results, I'm referring to the second quarter figures unless I say otherwise, and all monetary figures are in RMB, if not specified. As Yan just mentioned, our total sales volume for the second quarter was 350,000 units, up 37% compared to the same period of last year. 319,000 units were sold in China, while the remaining 31,000 units were sold overseas. Nearly 50% of our sales volume in China came from our top 3 models this quarter. The total revenue for the second quarter amounted to RMB 1.26 billion, an increase of RMB 315 million or nearly 34% compared to the same period of last year. China revenue were RMB 1.15 billion, accounting for 91% of total revenue. Of this, the scooter revenues were RMB 1.6 billion, a year-over-year increase of 45%, and this increase was mainly due to the increase in sales volume. China scooter ASP was RMB 3,316, down 5% year-over-year, but up 11% quarter-over-quarter. And this decline was primarily attributed to a shift in product mix. In last year's Q2, large-scale scooters like NXT, N-Play dominated our best sellers with average retail price exceeding RMB 5,000. In this year's Q2, however, the [ MT ] models, a more compact scooter emerged as the top seller, capturing over 1/5 of the total sales units at a retail price range of RMB 3,700 to RMB 4,600. And overseas revenue were RMB 110 million, representing 9% of total revenues. The scooter revenue, including electronic motorcycles and mopeds, kick-scooters and e-bikes amounted to RMB 103 million, down from RMB 130 million in the same period of last year. And this decline was driven by the decrease in sales volume and ASP of kick-scooters, while overseas scooter ASP increased 23% year-over-year to RMB 3,288 and driven by the increased proportion of electronic motorcycles in the total sales volume. Revenue from accessories, spare parts and services amounted to RMB 96 million, a 15% increase compared to the same period of last year due to the increase in spare parts sales in China market. The gross margin (sic) [ profit ] exceeded RMB 252 million, marking a significant improvement compared to RMB 160 million during the same period of last year and RMB 118 million last quarter. The gross margin was 20.1%, 3.1 ppt higher than the same period of last year and 2.8 ppt higher than the previous quarter. Domestic market gross margin improved due to the successful cost reduction initiatives contributing to a 5.1 ppt increase in overall gross margin. However, the overseas margins reduced the overall gross margin by 2 ppt, primarily due to 3 factors: a change in kick-scooters product mix, the impact of U.S. tariffs and aged inventory write-downs. The operating expenses for the second quarter were RMB 265 million, increased 38% compared to the same period of last year. The OpEx ratio rose slightly to 21.1% from 20.4% year-over-year, but decreased from 24.2% last quarter and 22.8% for the whole year 2024. Selling and marketing expenses rose by RMB 82 million year-over-year to RMB 202 million, primarily driven by higher spending on online shopping festivals and marketing events in China. Selling and marketing expenses representing 16.1% of revenue compared to 12.8% in the same period of last year, but down from 16.8% last quarter. R&D expenses increased by RMB 11 million year-over-year to RMB 44 million, primarily due to higher staff costs and share-based compensation as well as higher design and testing expenses. R&D expenses representing 3.5% of revenue compared to 3.4% in the same period of last year, but down from 4.4% last quarter. G&A expenses decreased by RMB 20 million year-over-year to RMB 19 million, largely attributed to foreign currency exchange gains. G&A expenses representing 1.5% of revenue, a notable reduction from 4.2% in the same period of last year and 3% last quarter. Net income was RMB 5.9 million with a net income margin of 0.5% under GAAP accounting compared to a net loss of RMB 25 million for the same period of last year. The non-GAAP net income was RMB 13.7 million with non-GAAP net margin of 1.1%. And turning to our balance sheet and cash flow, we ended the quarter with RMB 1.4 billion versus RMB 1.1 billion last year ended cash, restricted cash, term deposits and short-term investments. Our operating cash inflow amounted to RMB 519 million. CapEx amounted to RMB 32 million, reflecting an increase of RMB 12 million compared to the same period of last year, and this can be attributed primarily to an increase in opening of new stores and modules cost in China. And now let's turn to guidance. We expected third quarter revenue to be in the range of RMB 1.4 billion to RMB 1.6 billion, an increase of 40% to 60% year-over-year. Please be aware that this outlook is based on the information available as of the date and reflects the company's current and preliminary expectations, which is subject to change due to uncertainties reflecting various factors. And with that, we'll now open the call for any questions that you may have for us. Operator, please go ahead.
Operator: [Operator Instructions] We will now take our first question from the line of Yating Chen from CICC.
Yating Chen: This is Yating from CICC. Congratulations for your outstanding performance. And I have one question. I'd like to know the reasons of -- I'd like to know that what are the reasons for the increase of unit price and the gross profit margin in second quarter? And what's your outlook for the unit price and gross profit margin in the third quarter?
Wenjuan Zhou: Okay. This is Fion. I'll take this question. Regarding to the overall blended ASP, the ASP improvement quarter-over-quarter is mainly due to the product mix improvement, especially in China scooters. Last quarter, our ASP is around RMB 3,000 in the domestic market just because we launched the 2 smaller or more compact scooters, MT and MMT, which the retail price range is through RMB 3,500 to RMB 4,800. So this will drag down the ASP last quarter. And this quarter, since we launched the upgraded version of the NXT 2025 version, the NLT and also the N-Play, which all the large-scale scooters and the upgraded version from our best sellers and the retail price exceeding RMB 5,000. So the blended product mix in China market rose up by those best sellers. And additionally, in the overseas market, this quarter, our e-motorcycles sales volume increased more than 3,000 units and our motorcycle ASP was around RMB 15,000, which includes the FOB models and also the DDP models. And this will improve the overseas blended ASP as well. As to the gross margin, actually, both on the cost reduction side and also the -- our ASP improvement brought up the overall China market gross margin. Actually, in this quarter, our domestic gross margin with the scooters and also the non-scooters altogether, the gross margin in the domestic market is more than 20. -- 21% overall. So this is a very optimistic and a very good figure for the past 6 quarters, and this also improved -- give us a better gross margin for the overall gross margin, for the total gross margin and for our business this quarter. hope this will answer your question.
Yating Chen: And I have another question. I'd like to know about -- I'd like to know that how do you predict sales volume next year for the domestic electric 2-wheeled vehicles. Some investors are worried about that.
Yan Li: So this is Yan. So let me address this question. I think currently, we're still -- it's still really early to predict the sales for next year. I mean, I think one thing we're looking at is actually with this new -- as I mentioned, there is this new regulation that's going to be effective with 2 dates, right? One day is actually September 1, that's for the manufacturers, one day is December 1, that's for the retailers. So if you look at the entire market, there are speculations that maybe some of the demand from next year will shift to this year because of regulatory changes. But we're still being very cautious at this point to actually to observe the market. In terms of NIU, I think what we are doing right now is actually we're preparing -- we have a multiple line of products that the new series that will comply with the new standard, and also, we're modifying our existing series to comply with the new standard. At the same time, we continue to increase the number of retail stores. And those 2 actions will help us to really to drive the growth for next year regardless of market changes.
Operator: Our next question comes from the line of Kai Kang from CITIC.
Kai Kang: This is Kai Kang from CITIC, and congratulation for this strong performance in the second quarter. And I also have 2 questions. And the first question is about the overseas market. So we know that in the last 2 years, we were under high pressure in overseas market, our performance was under pressure. So do we think we have working out of the rules or going out of the bottom and climbing up again due to our [ NIU ] driver on e-scooter and also our NIU direct selling channel in overseas market? So can we expect maybe a better, brighter future since the second half and to the next year in overseas market?
Yan Li: Right. So Kai, to address your question, I think the short answer is yes. We really -- we spent the last 2 years because the overseas market for electric 2-wheelers, the moped, Europe is actually one of our largest market. And we really spent the last 2 years building up the direct distributed models. It's very complex. It requires setting up our own operations from logistics to dealer financing. So we really spent last year to build on that. And then it really started to turn around basically second quarter this year. We look at our market share based on the registered vehicles because many of mopeds you sell in Germany, Italy, it require registration. We look at our market share in registered vehicles, we're actually number -- ranked #1 market share in Germany and Italy at this point with much faster growing rate than our competitors in those markets. So we actually expect continued growth trend basically in the electric 2- wheeler market overseas to hopefully to get back to the peak level which will be in 2020 or 2021.
Kai Kang: And I have another question about the dealer network in China. So we know the last 1 year, the dealer network was the strong driver of our performance in the domestic Chinese E2W market that in revenue. So do we think we'll keep open more new stores at a very fast pace like this year, in the next year, that means maybe next year, our dealer network stores number in China will reach about maybe 6,000 or 7,000, maybe some speed like that?
Yan Li: So I think right now, we're at 4,300, right? And we're expecting to -- because this year, our total target was open about 1,000 stores or so. We have net adds. So we have net adds -- added about 589 -- 569 stores. So we're looking at another about 400 stores to be net added in Q3 and Q4. So let's say, we achieve that target, that will get us to the number of about 4,700 stores. I think if you look at our competitors in this market and with the same price range, I think at least the ceiling for us will be somewhere around 8,000 to 9,000 stores, and we still have a long way to go. So if you look at basically for the next 3 years, you should be looking at -- we continue to expand our stores. At the same time, as we are opening stores, our per store sales hasn't really been dropped. It actually, the per store sales also has a slightly increase like, I think it's more around like 7% to 8% per store sales. So with that, basically, that demonstrates that by opening the stores, we didn't dilute the sales per stores, and that actually shows sort of a trend for healthy growth or healthy channel expansion.
Operator: [Operator Instructions] We will now take our next question from the line of Michael Simmonds from GlobalView.
Michael Simmonds: Yes. This is Michael speaking here. Congratulations to Li, congratulations, Ms. Fion, these very good results for Q2. I just you've been -- for the last few quarters, you've been posting some good volume sales growth, volume growth in the number of scooters, but revenue growth always fallen behind that. This last quarter, it seems to be catching up a bit. [ Ms. Fion ] from you, the comments you've just been making, it sounds as though in this next quarter where you're predicting 40% to 60% revenue sales growth. Do you think that this will be the first quarter where that's going to be actually ahead of the volume in scooters?
Yan Li: So Michael, sorry, I didn't fully get the question. So the question based on the volume growth will be similar in line with the revenue growth for Q3?
Michael Simmonds: Well, yes, I mean, so far for a little while now, you've been achieving revenue growth that's been behind the volume growth in scooters. But from what you're saying on this call, it sounds though in your guidance of revenue growth of 40% to 60%, but actually this could be ahead of scooter growth -- volume scooter growth in this quarter. Is my assumption correct?
Yan Li: I think we -- so let me actually go back to my data here. If Fion has the data in front of her, she could be better to answer your question. My sense actually will be very similar because if you look at our -- basically, if you look at our Q3 [Technical Difficulty], the -- if I remember correctly, our ASP for China market for Q3 2024 is around actually RMB 3,000. It's actually significantly lower than Q2 2024 and compared with our Q2 2025, which is around RMB 3,300. So Q3 typically to be -- it's actually a low quarter for ASP because it's actually a top sell season for China. So a lot of the low-end scooters, even for us, will represent a higher percentage. So we're still halfway through [ Q4 actually ], if not halfway, about 40 days in Q3. So we're still actually don't have the full picture on what our ASP is. Currently, we roughly estimate that [ product net loan ] growth will be very similar in line.
Operator: Right. [Operator Instructions] I'm seeing no more questions in the queue. Let me turn the call back to Mr. Li for closing remarks.
Yan Li: Right. Thank you, operator, and thank you all for participating on today's call and for your support. We appreciate your interest and look forward to reporting to you again next quarter on our progress. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect your lines.